Leonardo Karam: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the conference call of Usiminas in which the results of the third quarter of 2022 will be discussed. I'm Leonardo Karam, General Manager of Investor Relations at Usiminas. To those who want to follow us in English, a free translation of the webcast is available on the Usiminas IR website. We also have an interpreter for simultaneous translation. Please choose the sound channel on the icon at the bottom of your screen. All participants are connected in listen-only mode, and your questions can be asked in writing in Zoom's Q&A icon below on your screen. Participants who are listening in English will also be able to ask questions directly in this section. This conference call is being recorded and broadcast simultaneously on the Usiminas YouTube channel. We would like to remind you that this conference call is exclusively for investors and market analysts. Would like to ask you to identify yourself so that your question can be answered and for better dynamics we ask you to limit yourself to questions for recipients. We request that any questions from journalists are referred to press media relations of Usiminas by the telephone number (31) 3499-8918 or by e-mail in pensa@usiminas.com. Before proceeding, I would like to clarify that any forward-looking statements that may be made during this conference call regarding the prospects of the company's business as well as projections, operational and financial goals related to its growth potential constitute forecasts based on the management's expectations regarding the future of Usiminas. These expectations are highly dependent on the performance of the steel sector, the entry economic situation and the situation of international markets. So, they are subject to change. With us today is the executive management of Usiminas, CEO; Alberto Ono, Vice President of Finance and Investor Relations; Thiago Rodrigues, Vice President of Industry; Americo Ferreira, Vice President of Corporate Planning; Gino Ritagliati, Vice President of Technology and Quality; Toshihiro Miyakoshi , Commercial Vice President; Miguel Homes, CEO of Mineração Usiminas; Carlos Hector Rezzonico, Executive Director of Usiminas; Leonardo Rosa, Supreme Director of Usiminas; [Indiscernible]. At first, Mr. Ono will make some opening remarks. Then Thiago will present the results. Afterwards, the questions asked in the Q&A session will be answered. I now turn the call over to Alberto Ono. You may proceed, sir.
Alberto Ono: Good morning. Before anything else, I would like to thank you for attending the session to discuss the results of the third quarter 2022. Thiago will give the presentation so the comments related to the figures are up to him but I would like to highlight that this has been a quarter where we had a change of scenario, which was quite significant involving the major business of the company as for the mining and the steel units. And it was quite different from what we saw in the other quarters. And this reflects in the results, okay? On the other hand, I would also like to say to you, especially now at this moment. when we are close to the end of October. On the 26th of October, Usiminas celebrated 60 years of operation. So this is an important hallmark of our history. And what I would like to say to you that we continue working hard in order to ensure the sustainability of the company for the years and decades ahead of us. So we work very hard involving all the companies on the search of the sustainability of our operations in the short, medium and long terms. We have challenges ahead of us such as decarbonization, the higher integration of bringing other dimensions related to the population of composition so that we can bring them into our activities, and this is reflected in our inclusion program. And I believe this is how we see the future and what we are going to do for the next year, we look at the sustainability, we see the retrofitting of the last finance three , which is going to be the most important event in the last years and is going to ensure the sustainability of our operations of Ipatinga for the decades to come. So I would like to draw your attention to the fact that we are working hard despite of the challenging scenario that we are facing in the economy and in the steel sector. And we are working in order to ensure the sustainability of our operations. And since we are celebrating 60 years of operations, and this is what we want for the decades to come. And this is the spirit of the management of the company, the executive board and all are in place. Thank you very much. I will turn the call over to Thiago.
Thiago Rodrigues: Thank you, Alberto. Thank you very much. So, we are now going to start the presentation to discuss the results. We start with the highlights for the quarter. The top, we see everything related to sales of steel and this is where the good news is in relation to the results. So there was a drop of 4% in the fuel unit sales, but there was a very positive effect of the sales mix, and we're going to discuss it ahead of the presentation and the net revenue was stable in spite of the dropping price in some segments. And we are going to discuss this in more detail during the presentation. EBITDA had a relevant drop, 836 million for the quarter with 10% of margin. And we are going to provide more detail about it because of the major impact that was felt in the cost of the steel activities. We're going to show you where the impact came from and also in the impact -- in the iron ore because of the price. Net profit was lower than the reduction of EBITDA because of the FX variation, which was more favorable than the previous periods. So, we ended at 609 million. On the next slide, we are going to see the breakdown of EBITDA per segment. So in the consolidated results, as we have mentioned, there was a reduction of EBITDA in all areas -- business areas, and we will talk more about it. Now we are going to talk about the steel unit. [Indiscernible] As I said before, as for the steel unit, we had a sales volume, which was stable in relation to the previous quarter. However, the real per ton better than the previous quarter in spite of the drop in price in some segments. And on the right, we can see the justification because there was an increase in sales for the sector. In industries, we had a significant increase of the margin and the volume of sales of slabs and also for the sales of agribusiness, implements and industry as a whole, as I mentioned. So, we were favored by this better mix. We increased the share in the sector of industry and reduced in the sector of the major networks where we saw some drop in price. On the other hand, what made the difference in the results of the company as we were expecting was a high pressure on cost. And it's important to mention that there was an effect that came from the price of the raw materials. So on the graph below, we can see the BRL per ton comparing the second quarter and the third quarter, we see a difference of BRL 511 per ton. And we look at all raw materials but with a highlight on the slabs and on the coke. So, if you look at the market indicators in relation to the prices of the slabs, we came from an average in the second quarter of 900 per tonne, and the average of the third quarter was $600 per ton. And that means that what impacted the cost for the quarter was the period of the second quarter, where the price reached the top $900. The $600 and the reduction that we saw in the third quarter, we are going to notice realized in the fourth quarter. So we went through the cogs with the highest price of the slab. And as for coke, there was a reduction of 20%. So we reached the peak price of coke in this quarter, and we are likely to see a reduction of about 20% in the quarter -- in the fourth quarter, sorry. And we see the cog that was acquired considering the ability that we have seen in the coking unit and the purchase of coke from the international market. So the message is that there was a price effect in this quarter, but this price is likely to be reverted in the fourth quarter. As for the mining unit, we have also observed a reduction in EBITDA of EUR 157 million, with a margin of 18.8%. And if we go into the tail, we see that the story was a bit different. We had a 6% drop in the volume of sales that was impacted by the reduction of demand, especially for iron big, the iron. And this was impacted by the price of the iron ore. The cogs was stable without any relevant variation. And as for the steel transformation, we go back to historical level of margin of 5.6% with BRL 148 as a result, and this drop was expected already. The effect of the second quarter was impacted by the inventory level. The acquisition of inventory at a price, which was stable when there was an increase in income and revenue, and we see a reduction of this margin going back to the historical levels for the steel transformation unit. And following the other financial aspect, working capital, about BRL 700 million, and there was an increase that was expected as we had mentioned before in the other call, we start to compose our inventory of slabs. And this increase was highly influenced by the reduction of the payables because most of the suppliers of slabs have a shorter payment term. And we can see the steel inventories and the effect. So, we break down this composition of the inventories for the retrofitting of blast furnace #3. So, we had an increase in the inventory of slabs because we had in mind this retrofitting of blast furnace #3. And we see that there was a reduction in the volume of inventory, especially for finished product and product in process. We are now going to talk about the CapEx. And as we have already mentioned, our guidance of BRL 2.5 million is maintained. So there was an increase that was expected for the third quarter. So we are in line with what we had planned. So we expect that for the fourth quarter, we are going to have CapEx at the level of BRL 700 million. The guidance of EUR 2.05 million involves some minor variations because as we get closer to the moment, we do the retrofitting, the CapEx increases a lot. So there is a transference between one period of the other is very normal, but we understand that 2.05 million is quite an adequate guidance. Going to the cash flow, cash position of the quarter. It was offset by the variation of the working capital as mentioned before, and also by the CapEx that made the cash to be reduced at about BRL 500 million in the -- from one quarter to the other. And that also impacted our net debt, as we can see in the graph below that is now BRL 1 billion, the leverage level is still very low of 0.14x with a perspective of high CapEx and working capital high for the year, we expect a higher number of the leverage level, but still at comfortable levels. Now these are the highlights for our ESG agenda. So, the targets, as we mentioned in our press release, have been close to the market and 10% of the targets have already been reached 70% are according to the plan, and only 20% are below the plan. But we can still with a lot of possibilities for us to reach the target. So we are very confident about it. And some highlights in our transparency agenda. In the last quarter, we reported some information about the World Steel Association. These are data that will be consolidated by the relevant associations, and they will be served as benchmark to understand where we are positioned in the industry and also to provide a guidance for all the actions we need to adopt in order to improve our performance in ESG. And we also -- we answered the carbon disclosure project questionnaire related to combating climate change. Another highlight that we bring is the project [Indiscernible]. It's a steel change project that involves a number of events that we invited suppliers, small and medium-sized suppliers who do not have the capacity to look at ESG. And we believe that this is a topic that has to be looked at not only in our company. So we bring in all the suppliers. We share the best practices and everything we are doing in order to progress in this agenda. So we help the suppliers to go along with us in the same direction. So this was a very quick presentation. I'll turn the call back to Leo to open the Q&A session.
A - Leonardo Karam: Thank you, Thiago. And now we are going to start the Q&A session. Our first question is to Miguel from Miguel with Itau about inventories of the blast furnace three. What can we can expect in terms of constitution of slabs for the retrofitting of blast furnace #3.
Thiago Rodrigues: Thank you. We would like to remind you that the retrofitting of less furnace will happen as of April next year, and it will take 110 days. So, it will have an impact of EUR 650 or 700 slab, thousands slabs. And the inventory will be made six months before the retrofitting operation. So considering all the time, we could estimate that up to December, we would have accumulated about 50% of those slabs that will be required in order to meet the demand along the stoppage for the retrofitting of blast furnace #3.
Miguel Homes: There are some other questions to you about the negotiation with the automotive market, the assemblers.
Leonardo Karam: Edgar [Indiscernible] with Goldman Sachs and Ricard with Morgan Stanley are asking you to make comments about the negotiations on the auto sector. And so how are you negotiating the contracts for next year? What can you expect when you compare to 2022? And is there a possibility for us to expect any negative adjustments in terms of price for distribution. And if this trend would also be applicable to part of the agreements that are adjusted or readjusted or reindexed in April.
Thiago Rodrigues: I think these were the questions came from. The negotiations with assemblers whose contract end in December have already started, but we are still in the initial phases. When we talk about levels of adjustments, the time of the validity and the other items are definitions that we are going to decide together but the negotiations are going to happen up to the end of the year. The agreements that end in December would account for 20%, 25% of the volume of the sales of Usiminas for the auto sector. The other 75% are agreements that are going to last up to the month of March. And then the negotiations are going to start close to that date. And the last question was the adjustments in the magnitude. It's obvious to think about trends because the contracts tend to follow the international markets. Obviously, these agreements that have different validity, we are talking about different products and the services provided are also different. And these are related to the distribution sector. When we analyze the current situation in the market, we see in addition to international scenario, which is quite challenging. We see that the steel sector has very limited margins. And today, the Chinese are all offering a surprise of products with negative margin. And it's very hard to believe that it's going to be maintained for the future. So, we're not going to use the current market conditions as referenced for the definition of the conditions of the market in the future. Of course, we still have 60 days in order to continue our negotiations and we will be able to reach as we have done in the previous year to reach agreement so that we are going to continue to be the most important steel supplier for the automakers in Brazil.
Leonardo Karam: Miguel, just something to add. Ricard also asks if this trend is also applicable to the adjustments of April?
Miguel Homes: Yes, the characteristics are the same. It's a conceptual base. The times of negotiations are different, but the trend is likely to maintain if the market conditions are maintained. So we believe that there could be a trend the same trend for the contract of January and April. We are going to continue monitoring all the variables that are part of the negotiation.
Leonardo Karam: Thank you, Miguel. Our next question comes from Edgar with Itua BBA to Carlos about mining. Carlos, as rationale -- the follow rationale. The EBITDA per ton, we noticed a level of $15 per ton. Considering the current iron ore prices, what's the profitability of the imports? Can we expect any change in the levels of imports of iron ore for 2023? And is there anything that can be done in order to improve the profitability of the mining activities Carlos, please?
Carlos Hector Rezzonico: We are still working on the budget of 2023. As soon as the budget is proved at all levels, we can talk about this. However, we have been following the situation of the market, there was a drop in relation to the latest meeting of the company's party meeting in China. And we have been watching in order to understand until when the price is going to fall, and we are defining what are the actions that can be adopted. We may stop plan. We can reduce the production of a product. What are we doing in order to face this challenge. As you know the elimination of the dam led to process of the tailings. And this generated moment of difficulty. So, we are accelerating. And we are putting together all the knowledge that we have in order to accelerate the ramp-up of those plants. And in addition to this, we are also analyzing the processes. We are analyzing several projects that we used to have that we had implemented to reduce costs. And we are considering everything that was compatible with what we had before the elimination of the dam. So we are also implementing actions. We are renegotiating agreements, especially to face this risk. We understand that many suppliers have to go along with us in this crisis situation in terms of prices. And of course, this would help the company to reduce costs so that we can continue operating in a scenario that we believe we will continue to have prices at levels similar to those we have now, okay?
Leonardo Karam: Thank you, Carlos. Next question comes from Carl Grana with BTG, Arthur Suelotto and Ricardo with Morgan Stanley. Thiago, they want to know about costs. All of them are asking about the increase or what's the impact of the increase that we have seen in the cost -- the cash costs for the increase of the cogs for the quarter. So what is likely to be the behavior of those prices in the fourth quarter? And is also -- you're also being asked to talk about the dynamics of the slabs and how this is going to impact the quarters to come. Yes, Thiago.
Thiago Rodrigues: Okay, I'm going to answer a part of the question, but let me start in relation to the cash cost. The effect that we see on cash cost is not necessarily coming from the same or same it will have the same effect on the cogs. We can say that the cash cost increase that we had from the first to second quarter is not the same as the second or the third. So there is a reduction trend. In other words, the 3% increase in the cash cost indicate better meant in the fourth quarter with a potential reduction of the price effect, as I mentioned before. And in relation to the dynamics of slabs, right? Between the negotiation of the purchase of the slabs until it reaches the cogs, it takes about three months, only to simplify. So the slabs that we negotiated in the second quarter at a higher price of the curve impacted the cogs in the third quarter. The curve went down. So these slabs that are likely to impact the cogs of the fourth quarter will have a reduced price because of the part of the curve. And the other question was related to the trend for the fourth quarter. So the trend for the fourth quarter is of stability with some potential of reduction related to price, but it's difficult to say for sure. In the future, we are expecting something at this level until we finish the retrofitting of last furnace #3 and have a recovery of the coking unit.
Leonardo Karam: Thank you, Thiago, just to add. Hakar, asks if it's possible to understand the sales cost of the third quarter as the peak for the year.
Thiago Rodrigues: Yes, I think we can consider that, yes. Again, in terms of price, I would say so but in terms of slab price, we see the stability with the potential of reduction in the fourth quarter.
Leonardo Karam: Thank you, Thiago. Thiago, our next question is also to you. It's related to cash and leverage. It comes from Vines Sandra with Safra Bank. We would like to ask you what would be the open level of cash and leverage for the company. And there's another question only to put them together, Lukas Young with JPMorgan asks about the capital structure. How can we think the capital structure? It was mentioned that leverage is likely to raise but will be maintained at lower levels, but what can we expect?
Thiago Rodrigues: We do not provide any guidance to the market in terms of cash level or leverage. But it's important to mention that the company has, at the moment, a very relevant CapEx for 2023. And our strategy was to implement the CapEx with our own resources. And this is something we maintain. And with this cash reduction that we're likely to have in the next year, and we are leaving a moment of limited margins. We see that the level of leverage is relatively low, especially within the 3.5, which is the covenant that we have for our debt. So we are working considering this scenario, maintaining the level of leverage at this point without any specific target and waiting for the blast furnace to be back into operation, which will be a moment where the company will have the possibilities to define the strategy of the following years in a more accurate manner. So this is when we can talk about leverage and cash target.
Leonardo Karam: Thank you, Thiago. The next question comes is to Miguel from Leonardo [Indiscernible] with Bank of America and Renato Antunes with Morgan Stanley, they are talking about export price. The realization of steel was very strong in the quarter, considering the global benchmarks, especially for exports. Which were the factors for the stronger realization and what helped this trend for this quarter? And what's the trend for the fourth quarter? Miguel, please.
Miguel Homes: Considering the international market, Europe has been facing energy crisis and inflation. And we have a time with a surplus offer, offering conditions of unfair competition as we saw in the steel area at the global levels. This made us to focus on our exports to the regional market on the one hand and to segments with higher added value. So, on the third quarter, we focused to automotive sector and also specific projects of oil and gas. This made us to have a better mix of product and obviously, product with better added value and with higher prices. We are going to continue this trend for the fourth quarter. We are not going to change the level of exports for the next quarter.
Leonardo Karam: Thank you, Miguel. The next question is also to you. Carl Grana with BTG, Leonard with Bank of America and Hakar with Morgan Stanley, all ask about prices. They want to know what's the price movement to the industry ex auto, meaning without the automotive industry. And if we could see this relevant drop impacting the fourth quarter? And what's the mismatch that could be expected? And Ricard, also asks that he would like to see the comparison that you always make how you compare the prices of the third quarter with the average that has been shown in the domestic market?
Miguel Homes: As we always say, the industry prices follow the trend of the distribution. However, with execution time, which is different, of course, the trend or the industry should reflect the trend that is practiced in the distribution sector, but not at the level that of the edges that we saw. In relation to the prices for the fourth quarter, as we said, we do not provide any guidance, but the average price of September was approximately 5% below the average price of the third quarter of this year. This is the reference that we can give.
Leonardo Karam: The next question is also to you, Miguel. It's related to demand to this call with Santander is asking what's the demand like with slabs and plating? Do you see any investments in this sector for the years to come?
Miguel Homes: First, let's talk about the demand. The demand of largest slabs has been very positive, not only by segments that considering what we saw in the industry for machinery and industrial equipment. But in the past months related to oil and gas equipment. So we have very positive demand for large slabs, especially in Ipatinga, very high demand in the past year. So the situation is very positive for the stability of the line and also for the competitiveness of the line. As for the plating products, we see that the behavior has been very positive according to the last report of Anfavia. So there is an expectancy of has a 5% increase. And in addition, although all the problems we had, all the problems that we had related to lack of parts. So we can see something stable in the auto sector. We understand that this is going to behave the same way in the next comes and there is an expectation for next year of a growth of 5% for the auto industry. In the construction sector, we see some very positive prospects. We see some data that were maintained stable. And this follows some plated products which is not as noble. So we continue analyzing all the market opportunities. We have seen that we continue analyzing a new line of coated product, and we are still doing an analysis, and we are likely to have the results in the following months.
Leonardo Karam: Thank you, Miguel. The next question is also to you, Miguel. We have Camilla with Bradesco and Leonardo with Bank of America. They're asking about volumes considering the level of prices in the international market, does it make sense to look for higher volume in the international market? And Camilla would like more details in terms of demand and volumes comparing the domestic and international markets.
Miguel Homes: Yes, Camilla, beginning with the last question. In the fourth quarter, we are going to have the seasonality, which is typical for this part of the year. So we are going to have a reduction in consumption in the fourth quarter according to the seasonality of the year. And also, that would reflect the collective vacation at the end of the year. We always are looking for new businesses, new alternatives, but the international market situation today suffers a lot of pressure, especially by the surplus of offers out there. And the unfair competition that China is putting on us. And this is something that's not likely to continue. That's why we are looking at the local market and the product with high value, high added value. And we are looking for the products, which have those characteristics that we are not going to look for exports if the margin is not reasonable.
Leonardo Karam: Americo, the next question is to you. Camilla Bader with Itau BBA with Bradesco is asking about the coking unit. How has the productivity of the coking units been progressing?
Americo Ferreira Neto: Camilla, thank you very much for your question. For the furnaces, which have already been recovered or retrofitted the productivity curve lows, what it was expected. The recovery plan will extend to two or three years until all the repairs or the recoveries have been completed, of course.
Leonardo Karam: Thank you, Americo. And the last question is a follow-up by Edgar with BBA, Miguel. The question is the following.
Miguel Homes: Considering the guidance that we provided and when the exports would be stable, the drop quarter-on-quarter should come from the domestic market only according to the release. We continue with the same approach focused on projects of oil and gas. Of course, in the automotive sector, in the regional market, we are going to see this typical seasonality of this time of the year. So we are going to expect some adjustment in some sectors. And as I said, the domestic market will present the typical seasonality, as I said, of lower demand.
Leonardo Karam: Thank you, Miguel. So we've come to an end. So we end the Q&A session. So I'll turn the call back for his final considerations, final remarks.
Alberto Ono: I would only like to thank you for attending our conference call to discuss the results of the third quarter of 2022, and let's wait for the year-end, and we hope that we will be able to disclose better numbers until the end of the year. And this is our mission in the short run. Thank you very much, and see you next time.
Leonardo Karam: Thank you, Alberto. We would like to thank everyone for having taken part in this session. And in case you have any questions, the IR team is available to clarify any questions you might have.